Operator: Good day, and welcome to the Topgolf Callaway Brands Third Quarter of 2025 Earnings Conference Call. [Operator Instructions] Also, please be aware that today's call is being recorded. I would now like to turn the call over to Katina Metzidakis, Vice President of Investor Relations and Corporate Communications. Please go ahead.
Katina Metzidakis: Good afternoon, and welcome to Topgolf Callaway Brands Third Quarter Earnings Conference Call. I'm Katina Metzidakis, Vice President of Investor Relations and Corporate Communications. Joining me on today's call are Chip Brewer, our President and Chief Executive Officer; and Brian Lynch, our Chief Financial Officer and Chief Legal Officer. Earlier today, the company issued a press release announcing its third quarter 2025 financial results. Our earnings presentation as well as earnings press release are both available on our Investor Relations website under the Financial Results tab. Aside from revenue, the financial numbers reported and discussed on today's call are non-GAAP measures. We identify these non-GAAP measures in the presentation and reconcile the measures to the corresponding GAAP measures in accordance with Regulation G. Please note that this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. Please review the safe harbor statements contained in the presentation and the press release for a more complete description. With that, I'd like to turn the call over to Chip.
Oliver Brewer: Thank you, Katina. Good afternoon, everyone, on the call, and thank you for joining us. Starting on Slide 3 of our investor deck. I'm pleased to report that in Q3, our total business exceeded expectations in both revenue and EBITDA with revenue up year-over-year in both our Golf Equipment and Topgolf segments. This performance was driven by excellent market conditions, along with solid execution in our Golf Equipment business as well as by an outstanding consumer response to our value initiatives at Topgolf, where we continued the impressive traffic growth that began midyear, especially in the 1- to 2 bay portion of our business, which in turn set up an all-important transition to overall positive same venue sales for the quarter. This performance, along with the trends we've seen in October, makes us increasingly confident in our strategic direction and supports the increased full year guidance we're providing today. I'd like to thank the Topgolf Callaway Brands teams for their dedication and commitment to delivering these results. Moving to Slide 5 and our segment performance highlights, starting with Golf Equipment. Overall, we continue to see strong performance in our Golf Equipment business with Q3 revenue up year-over-year despite less new product launch volume in this year's quarter. And importantly, excluding the impact of tariffs, this is the third straight quarter of underlying gross margin expansion, a testament to our proactive efforts here and the excellent work being done by our teams. Market conditions overall remain excellent. The U.S. market is up 2% year-to-date based on National Golf Foundation's manufacturer shipment data, but up an impressive mid-single digits on Datatec sell-through reports. And Q3's data was stronger than the year-to-date data on both of these measures. This was supported by continued strong participation and interest in the sport. Rounds played are up 1.4% year-to-date despite being down earlier in the year due to a wet and cool spring, with rounds played continuing to outpace playable hours, a trend we've seen all year. Market conditions are also up in Europe and the U.K. while in Asia, Japan is down slightly year-to-date and Korea is down low teens. Turning to our brand and market share performance. We gained share slightly during the quarter and had a particularly strong quarter in golf ball, with August delivering an all-time high U.S. share of 22.6% across both on- and off-course channels and 23% at on-course. On another positive note, according to Datatec's Summer 2025 Attitude and Usage Report, Callaway has retained its position as the leader in innovation and technology for the sixth consecutive time. According to the same report, this leadership position also helped drive further improvement in our overall brand rating. I remain confident in our brand strength as well as our product development pipeline. On the product front, our Elyte Triple Diamond Driver was recently ranked #1 in Golf Digest test of spin consistency. This important performance attribute shows off how we utilize our leadership in AI capabilities to deliver an important performance advantage. And this ranking MyGolfSpy’'s naming the Elyte Triple Diamond Driver their most wanted of 2025. On the golf ball front, the Chrome Tour Triple Diamond golf ball was also named the longest ball in MyGolfSpy’'s independent testing. Lastly, in the putter category, after entering the zero tore category midyear, we're now already launching our second generation of this putter type, a product called TRI-HOT, which differentiates in this new and hot category by providing a zero torque or toe-up design, but requiring less shaft lean via a more forward hoszle placement. This design innovation is, in our opinion, superior to other zero-torque putters because it's easier to align and requires less setup adjustment from golfers. All of these are small but important wins for our product and brand. We relish these wins because the cornerstone of our golf equipment strategy is delivering what we call DSPD or demonstrably superior and pleasingly different product. On the tour front, last month, men's world #4 Xander Schauffele captured his 10 career PGA TOUR title at Baycurrent Classic in Japan. And Jeeno Thitikul continued her strong season with a win in Shanghai, further solidifying her position as women's world #1. In summary, our Golf Equipment segment continues to perform strongly, supported by positive market dynamics. Our Golf Equipment segment revenues were up in the quarter and are up slightly year-to-date. This is despite more competitor product launches in early 2025 and lower new product launch volume from us in the second half of this year. On the profitability side, we are up year-to-date due to our margin and cost initiatives, but down slightly in the quarter due to the impact of tariffs, which, of course, have become more impactful recently. We remain excited about the direction of the Golf Equipment category and our brand. In the Active Lifestyle segment, excluding the Jack Wolfskin business from results, our revenues were approximately flat for the quarter with operating income down a little due principally to the impact of tariffs in the quarter. TravisMathew continues to do better than the market overall with revenues in the quarter approximately flat year-over-year. The brand continues to benefit from growth in its women's category. The Callaway brand in this segment was also approximately flat for the quarter, with market share gains in Japan apparel offsetting soft apparel market conditions in both Korea and Japan. Turning to tariffs. Across our products business, we had an incremental tariff expense of $12 million in the quarter, and we continue to forecast approximately $40 million for the full year. Given that the new tariffs were phased in during the year, along with the FIFO nature of our inventory, the impact will unfortunately increase meaningfully going forward, assuming, of course, that the current rates hold. We intend to mitigate as much of this impact as possible via efficiency improvements, pricing and vendor negotiations. This is an ongoing process and a key initiative across our organization. As part of this, we recently implemented a reduction in force of about 300 positions. As we look forward in this environment, with continued positive demand but likely higher product costs, I don't see further headcount reductions as appropriate. However, we're going to have to continue to be very attentive to overall cost management and margin initiatives and delivering DSPD product that stands apart in the marketplace will be more important than ever. Thanks to our long-term commitment to R&D and innovation, we feel optimistic about our ability to do this. Turning now to the Topgolf segment. Q3 results exceeded guidance for both revenue and EBITDA, including, as you'll see on Slide 7, an all-important transition to positive same venue sales of a little more than 1% for the quarter, driven by continued positive momentum in traffic. The big news here is that the 1- to 2-bay primarily consumer portion of our business that makes up 80% of annual revenues has transitioned to positive same venue sales growth overall with Q3 traffic up high teens and same venue sales in the quarter up 2.4% for this segment. This was driven by the continued consumer appeal of Topgolf, which, as you can see on Slide 8, is ranked #1 in both fun and atmosphere by 100x, coupled with our new value initiatives, principally Sunday Funday and half off golf Monday through Thursday, both of which were implemented midyear. I couldn't be more pleased with the immediate and significant response to this strategic repositioning. I believe the consumer insight and execution here was just terrific, and the clear results bode extremely well for our future outlook. We will be continuing these value initiatives for the foreseeable future while also working on further optimizing our marketing and continually introducing new reasons to visit Topgolf. Focusing on frequency for a moment, we have already seen improved results year-to-date based on the successful launch of our summer fun passes, and we are now in the early stages of implementing a new membership or subscription program we call PlayMore. Turning to our 3-plus bay business, which is primarily driven by events. While we continue to experience declines here, we have begun to see a leveling off in this portion of our business. This can be seen in both our actual results and our leads. We also have several initiatives planned during Q4 to further improve this performance, including per player pricing, dedicated marketing and online booking capabilities for 3 to 4 bay events. Looking more deeply at the balance of the year, we expect same venue sales to be approximately flat year-over-year for Q4, resulting in same venue sales of down mid-single digits for the full year. As a reminder, Q4 same venue sales are disproportionately impacted by our 3-plus bay business, which has historically been approximately 30% of the sales mix in this quarter and are even more heavily weighted towards the end of the quarter due to holiday parties. On the digital front, we continue to roll out our new Toast point-of-sale system. Where implemented, this system has improved speed of service, which in turn drives improved labor efficiency and spend per visit. We expect Toast to be in a little over half of our venues by year-end and all venues by end of Q2 next year. During Q4, we will also be piloting both pay and Bay and mobile ordering for food. We are optimistic that these will deliver further gains in efficiency and spend per visit when scaled in 2026. Moving to profitability. Our venue EBITDA margins remained strong at just over 33% in Q3, around flat year-over-year despite the increase in our value offerings. We maintain our expectation of EBITDA margin contraction for the full year, though we are trending to be on the better end of the guidance of down 100 to 200 basis points year-over-year. Given the strategic move to drive more value, we believe this demonstrates outstanding execution. And importantly, we remain confident in the potential for significant future upside. New venues continue to open well and deliver strong economic returns. We're on track to open 4 new venues this year with our third opening just last week in Woodbury, Minnesota and the fourth scheduled to open in New Braunfels, Texas in December. Lastly, on the leadership front, we are in mid-process on our Topgolf CEO search. I'm pleased with the interest in the position and the quality of candidates. Additionally, the current team is performing well in the interim, and I remain confident in their ability to do so. A special call out to Erin Chamberlin, Topgolf's COO, who is now serving as Interim President. And also a big thank you and well done to the entire Topgolf senior leadership team for stepping up during this period of transition. In conclusion, Q3 was an excellent quarter, highlighted by the fact that both the Golf Equipment category and our brand remains strong as well as Topgolf's continued momentum in driving traffic growth, including a positive same venue sales performance in Q3 and an improved outlook for the balance of the year. These results support us raising our guidance for the full year. I also want to reaffirm that we remain committed to the separation of Topgolf and are fully engaged in that strategic process. Lastly, we continue to believe that our strategic direction, coupled with the solid execution that we are delivering will unlock even greater value for our shareholders and allow both businesses to thrive independently. Thank you, and over to you, Brian.
Brian Lynch: Thank you, Chip, and good afternoon, everyone. As a brief note on today's call, I will be discussing our financial results on a non-GAAP basis and excluding the impact of the Jack Wolfskin business, which we sold in the second quarter of this year. With that said, we're pleased to report another strong quarter with third quarter results exceeding our expectations and guidance. Consolidated revenues were $934 million, a 3% increase year-over-year. This revenue growth was led by increased revenue in both the Topgolf and Golf Equipment segments. Q3 adjusted EBITDA of $115 million decreased $4 million year-over-year. This decrease is due to $12 million in incremental tariffs in our core business. Moving to segment performance. In Golf Equipment, Q3 revenue increased 4% year-over-year to $305 million, reflecting a 4% increase in Golf Clubs and a 6% increase in Golf Balls. Golf Equipment Q3 operating income of $23 million decreased $4 million year-over-year due to $8 million in incremental tariffs, which was partially offset by our gross margin and cost savings initiatives. In Active Lifestyle, Q3 revenue was $156 million, approximately flat as compared to Q3 of 2024. Operating income decreased $4 million to $14 million, primarily due to $4 million in incremental tariffs. As a reminder, these comparisons exclude Jack Wolfskin results. Moving to Topgolf. The 4% increase in Q3 revenue to $472 million was driven by the addition of 6 new venues since last year and a 1% increase in same venue sales. Topgolf operating income of $31 million increased $3 million year-over-year, while adjusted EBITDA was roughly flat at $84 million. Switching gears to balance sheet and liquidity. Our available liquidity as of September 30, 2025, increased $391 million to $1.25 billion due to $424 million of increased cash compared to the third quarter of 2024. This increase was primarily attributable to $270 million of cash from operations this year, the approximate $290 million in proceeds from the sale of Jack Wolfskin as well as improved working capital and lower net CapEx, partially offset by investments in the company's business. At quarter end, net debt was $2.23 billion compared to $2.54 billion last year. This decrease is primarily due to the increased cash. Excluding venue financing debt, which is essentially capitalized rent related to our Topgolf venues and including the convertible debt, our REIT adjusted net debt was $665 million, down $435 million year-over-year as a result of the increased cash. Net debt leverage improved to 3.8x from 4.6x, driven by the higher cash balance. REIT adjusted net leverage, which includes rent and interest payments, improved to 1.4x from 2.4x. We remain comfortable with these leverage levels. Our inventory balance decreased $98 million compared to the end of Q3 2024 to $569 million at the end of Q3 2025, primarily due to $108 million of inventory being included in the sale of the Jack Wolfskin business. Turning to our outlook, which can also be found on Slide 9 of our presentation. We are raising our full year 2025 revenue guidance to a range of $3.90 billion to $3.94 billion, up $60 million at the midpoint. We are also raising our full year adjusted EBITDA guidance range to $490 million to $510 million, up $40 million at the midpoint. This updated guidance reflects better-than-expected Q3 results and improved outlook for the balance of the year, including an improvement in Topgolf same venue sales outlook as well as continued cost management initiatives, which will partially mitigate the impact of the incremental tariffs, which are estimated to be approximately $40 million for the full year 2025. Turning to Topgolf. We are revising our full year same venue sales guidance to down mid-single digits. As a result, we are raising our full year Topgolf revenue guidance to a range of $1.77 billion to $1.79 billion, up $40 million at the midpoint. We are also raising our full year Topgolf adjusted EBITDA guidance to a range of $295 million to $305 million, up $20 million at the midpoint. As a reminder, this outlook accounts for the negative impact of Topgolf transitioning to a retail calendar in addition to the leap year impact in 2024, which together leads to a loss of 4 days of sales in 2025. This change is expected to create an approximate $20 million headwind to revenue and a $10 million headwind to adjusted EBITDA. With regard to CapEx, our outlook for Topgolf's net CapEx is approximately $120 million and approximately $40 million for our core business. We continue to expect to be free cash flow positive at both the total company and the Topgolf in 2025. Now turning to our outlook for the quarter, which can be found on Slide 10 of our presentation. In Q4, we are forecasting consolidated revenue of $763 million to $803 million versus $810 million in Q4 2024, excluding Jack Wolfskin. This estimate reflects the following: the impact from the move to retail calendar and sale of the World Golf Tour game or WGT for short, partially offset by revenue from new venues. The equipment launch timing and normal ball retail inventory management ahead of new Chrome launch in 2026, partially offset by improved market conditions. We estimate Q4 adjusted EBITDA to be in the range of $13 million to $33 million compared to $83 million in the prior year, excluding Jack Wolfskin. As previously discussed, the year-over-year comparison is impacted by several headwinds in 2025. These include incremental tariff expense, the year-over-year increase in cash incentive compensation accrual compared to a reversal of accrual in Q4 2024, incremental Topgolf stand-alone costs, the impact of lower 3-plus bay revenue and year-over-year variances in items such as property tax and insurance and the impact from Topgolf calendar change in sale of WGT. In conclusion, we are pleased to report strong third quarter results that reflect the resilience and adaptability of our businesses. The encouraging performance in our Golf Equipment and Topgolf businesses, coupled with strategic cost management and our strong liquidity has positioned us well for the remainder of the year. We were pleased to be able to raise our revenue and adjusted EBITDA guidance, highlighting our confidence in the strength of our business moving forward. While we acknowledge the challenges ahead, including the impacts of ongoing tariffs, our operational initiatives and commitment to delivering value for our shareholders remain steadfast. We appreciate your continued support. With that said, I would now like to turn the call back over to the operator for Q&A.
Operator: [Operator Instructions] And our first question here will come from Eric Wold with Texas Capital Securities.
Eric Wold: So a couple of questions, I guess. First off, on the Golf Equipment side, I guess, given the demand that you're seeing, the strong demand that you're seeing for Golf Equipment with on-course participation, I guess, how much pricing power do you feel that you have on equipment, clubs and balls as you move into '26 to offset tariff pressure? And do you want to go down that road? Are you seeing competitors raise prices and do you feel that's a path you think you can take?
Oliver Brewer: Eric, Chip. That's a good question and something that there's no clear answer on at this point. We've seen over time that the Golf Equipment category enjoys a passionate consumer and a wealthy consumer. So we do not believe that we're highly price elastic. And there's obviously healthy market conditions right now. So both of those go on the positive side. What I've seen over time is that the ability to raise price has been there, but it's dependent on how what we call DSPD or differentiated the product is. So as the product gets better, your pricing power gets better. And so we're going to have to see how that unfolds. Without a doubt, given the tariff situation, if these are the final rates, we will take a look at pricing. And we'll have to be strategic about that. But on new products, along with the higher product costs, pricing will be part of our equation for mitigating the tariffs.
Eric Wold: Perfect. And then just the final question kind of on Topgolf. Now we're kind of through the summer and you've seen kind of the reaction and improvement in visitation from the value initiatives. Maybe give us some sense of kind of the trends you've seen in kind of time at the bay and kind of how your ability to kind of book, shorter periods has impacted time at the bay and kind of -- then also what you see in terms of food and beverage attach rates kind of as the summer has played out?
Oliver Brewer: Sure. Obviously, really pleased with the reaction to the value initiatives, the continued strength of the experience scores at Topgolf. Traffic has been up mid -- high teens candidly. And so we're winning share and I couldn't be more pleased with the reaction. One of the initiatives that they put in place was some variability on bay timing, so being able to book bays in smaller windows, so within an hour, 1.5 hours' time, not just 2 hours on the reservation system. That has been impactful. I wouldn't call it the most impactful of all the initiatives, but it has a positive response and certainly meeting the consumer where they are on that front. And then on the food and beverage side, we are trending up. If you just try to isolate the food and beverage same venue sales, it's up. It's got a couple of different factors going on, but it's being driven by the traffic and no real change in trend. We've also been able to initiate some new offerings in the food and beverage sector, platters and such, which have been well received. There has been a continuation of the long-term trend of alcohol attachment, but no change in that trend. So food and beverage has been a positive for us as it relates to the quarter and pleased with it.
Operator: And our next question will come from Simeon Gutman with Morgan Stanley.
Simeon Gutman: My first question, it's on the business connected to the consumer. Can you talk about sell-through this quarter, not just sell-in or to the best you can? Anything that signals the consumer behavior is changing? And then related to that, it seems like '26 is going to be an important year for new launches, connecting any changes in behavior now to how the launch season could go early part of next year?
Oliver Brewer: Sure, Simeon. We've seen excellent results in the golf segment, more or less all year, but strengthening in Q2 and then even stronger in Q3. It started the year with a little bit of a wet and cold spring. But as that transitioned, rounds played have been up and sell-through trends have been candidly terrific. And you've seen where the sell-through trends are higher than the sell-in trends. So a little bit of a destocking going on out at retail as well, which is also a net positive. The consumer just is very engaged, very healthy right now. And as we look forward, we're not really getting into estimates for 2026 at this point. But the strength of the consumer throughout the summer and through current has been quite positive. We've seen a long-term trend of strength around golf. So I feel really good about that.
Simeon Gutman: And then as a follow-up, the width of Q4, the profit range, what don't you know about tariff today? Because you've taken mitigating actions, you have some sense of what it's going to cost. Is the width more related to Topgolf variability or the equipment business? Can you talk about the things that are in your control versus things that you left a little leeway with?
Oliver Brewer: Sure. I'll let Brian comment on it. I'm not sure that we -- it's not intuitive to us that we have a particularly wider than normal range in terms of any of our metrics for Q4. Obviously, a fairly diverse business. So there's some level of range that is required there. But -- and there's tariffs, we -- there's no significant degree of uncertainty in the tariff. We're more and more comfortable with our understanding there as we move forward. So no -- nothing there to speak of.
Brian Lynch: That's right. That's the -- this is the normal range we give for this time of year. So there's really no -- nothing different than normal here.
Operator: And our next question will come from Matthew Boss with JPMorgan.
Matthew Boss: Great to see the progress. So Chip, on health of the golf industry, what are you seeing from new entrants to the sport today? And could you speak to the market share opportunity you see into next year if we're thinking about clubs relative to balls with the new Chrome launch on tap?
Oliver Brewer: Yes, sure. Again, the health of the golf business is excellent. So really pleased with those trends. We don't really have hard data right on new participants, but we'll see some trailing data over the next few months as their report will come out, but it will be trailing data. But all indications are is that the participation is continuing to move positively. Visits to Topgolf is a leading indicator. And obviously, visits to Topgolf are quite strong. There are other strong new entrants and growth categories around off-course golf. The new -- the package set business is still quite strong. So by all indication, participation is continuing to grow, although I do not have hard data and the consumer is good. In terms of market share opportunities, we're not going to get into 2026 estimates at this point. But as I always am at this point in time, I feel good about our product and our brand. We've had steady growth in the Golf Ball category. We had a very strong Q3 market share-wise in Golf Ball, which bodes well for the brand strength. And as you mentioned, next year will be a premium ball launch. So we're looking forward to that, and I look forward to talking to you about the new product and that opportunity in February.
Matthew Boss: Great color. And then, Chip, at Topgolf, on the inflection to positive same venue sales in the third quarter, could you break apart the 700 basis points of sequential improvement? Maybe elaborate on trends or what you're seeing in October? And then just any update on potential strategic alternatives?
Oliver Brewer: Okay. I got to jot these down. We're going a couple of different ways here. So the -- what we saw in Q3 was really during the quarter, an acceleration of what we talked about at the end of last quarter where the value initiatives were rolled out and started to resonate with consumer. We saw significant growth in traffic. We saw 1 to 2 bay inflect to positive and 3-plus bay, although still down, has moderated. And those are great trends, and they ended up with a positive quarter which obviously is very important for us, and we're excited about. October results have been fairly similar to what we saw in Q3. So same type of result, positive for 1 to 2 bay. Traffic, same kind of positive traffic that we saw in Q3 and 3-plus bay, although still down, moderating. So October on trend with Q3. It's worth calling out, Matt, that as you look at Q4, the mix of 3-plus bay goes higher for us. So 3-plus bay is 30% of our volume in Q4 versus 20% for the full year. And as such, you just have a weighted average that is -- plays itself out in Q4, not really forecasting a change in trends there. We see positive trends that have been sustaining. And then I think your last question was on the Topgolf process. And we're continue to fully engage in that and committed. We continue to evaluate both a spin and a sale. Unfortunately, no update on timing at this point. The timing was impacted by the CEO transition, but I feel good about that process. And it's probably also worth mentioning that the improved results and outlook should be positive for value creation, whatever the final outcome is.
Operator: And our next question will come from Arpine Kocharyan with UBS.
Unknown Analyst: This is [indiscernible] dialed in on behalf of Arpine Kocharyan. Could you talk through the puts and takes of how we should think about same venue growth for Topgolf into next year and whether there is any type of pricing or better mix versus more volume that's baked into your current thinking?
Oliver Brewer: Sure. I'll try to do that. Obviously, pleased with the inflection, and we continue -- we're going to continue to lean in on these value initiatives. We're in the early innings, we think, of repositioning the consumer's perception of price at Topgolf. There's a chart in the presentation deck that shows that. We've made some progress, but a lot of progress to go. So the 1 to 2 bay traffic and value initiatives will continue. 3-plus bay is leveling off. We're optimistic that, that is likely to continue, and we also have some new initiatives there that we believe will be further impactful as that business proceeds. Those include per player pricing, 3 to 4 bay online and some dedicated marketing. We're implementing Toast and that has seen a positive impact both on margins and on spend per visit. We'll have a little more than half of the bays on Toast by the end of the year with all of them on for Q2. So that should have a positive impact on spend per visit next year. We're also starting to trial and we'll implement next year pay-inBay and mobile ordering, which should have positive impacts as well. We're introducing frequency programs. We introduced the summer, Summer Fun Pass. It was highly successful. We'll be leaning further into that, and we're now implementing a subscription program. It's very early, but we're -- we've seen a lot of other similar businesses have a lot of success with that. Ours is called Playmore and we'll be implementing that and optimizing that. We're going to continue to drive more optimized marketing. We've seen our marketing become more and more efficient as the new team there has gotten their hands on the wheel and implemented performance marketing and marketing that has resonated with the consumer. And then we're also going to continue to deliver new reasons to visit. That's new games, experiences. We did the football game this fall, and that will be part of our play mix as well. No specific call-outs on pricing at this point, but I hope I answered your question.
Unknown Analyst: Yes. And a second one, how should we think about unit openings for Topgolf into next year, assuming plans for separation could take a bit longer?
Oliver Brewer: We are planning 3 new venues for next year.
Operator: And our next question will come from Anna Glaessgen with B. Riley Securities.
Anna Glaessgen: I'd like to go back to the Topgolf comp inflection or same venue sales inflection, really good to see. Maybe anything you could share on the complexion of visitors maybe between new and maybe lapsed visitors versus the past and maybe that repurchase or revisit behavior maybe versus prior cohorts?
Oliver Brewer: Sure. Anna, we've seen -- we haven't seen any real change in economic profile or demographics. We've seen that the uptick in traffic is 2/3 repeat visitors and about 1/3 new. So just an outstanding mix from our perspective. And in terms of actually moving the needle yet on our frequency, given our frequency is 1.5 per year, it's too soon to -- you wouldn't really see it yet, but you're seeing great consumer behavior and a mix of new and repeat and the reaction has been both immediate and definitive.
Anna Glaessgen: Got it. And then thinking through the corporate event business in 4Q, while understanding that it tends to hit later in the quarter. Typically, what's your visibility? I would think, generally, especially around holiday events, people would want to have that booked earlier. So just trying to think through that dynamic and your level of visibility there.
Oliver Brewer: Yes. We have a reasonable level of visibility on that now. So we've got a significant portion. We get in the ballpark just over half of them booked 30 days out. But there's still a significant amount that we'll be booking here in the balance of November and even through early December. So we have a good read on that and have put that into our guidance.
Operator: And our next question will come from Noah Zatzkin with KeyBanc Capital Markets.
Noah Zatzkin: I guess maybe just to kind of follow up on the corporate business. Nice improvement in Q3. Is that just a function of comps? Or was there other kind of corporate behavior changes that you'd point to or expect kind of going forward?
Oliver Brewer: When you say Q3, you're just asking about corporate events in Q3?
Noah Zatzkin: Yes, exactly.
Oliver Brewer: Okay. Yes. So we just -- we've seen -- we took actions during the quarter and in terms of some marketing and changing how we're doing our sales organization structure and including repositioning some of the product during the early part of the year. And so I think some of that has been impactful. And I do believe that a significant part of this is also just a leveling out or, as you say, comps, but leveling of the overall market, which had declined, but is not going to be going away and will initially -- will eventually recover and be a strong opportunity for us.
Noah Zatzkin: And maybe just one more. Any updated thoughts kind of heading into holiday around TravisMathew and how you're thinking about that business?
Oliver Brewer: Yes. TravisMathew is a strong brand and an excellent business. The market overall in Athleisure has been challenged this year. We've outperformed that market. They've gained share over the last quarter. So I was pleased with their last quarter results and optimistic on trends going into Q4. But again, that's been baked into our guide.
Operator: And our next question will come from Joe Altobello with Raymond James.
Martin Mitela: This is Martin Mitela on for Joe Altobello. I wanted to quickly touch on the CEO search. I know I understand that you're kind of in the middle of the process here. But just trying to gauge how much time this new person in the role sort of need before the separation is ready to be enacted?
Oliver Brewer: Yes. Martin, I don't know whether I have a specific answer on that. So we're not commenting on the time there. I think the most important thing is that we've got strong interest in candidates and therefore, feel very encouraged. And as well, the existing team is just doing a terrific job. So I couldn't be more pleased with both that process and how the existing team is being able to manage this period of transition.
Martin Mitela: Understood. And just kind of quickly turning to tariffs. I understand you're not giving any formal guide for next year. You've offered a $40 million number for this year. Is there anything that you might be able to give us about what we should expect for 2026?
Oliver Brewer: Yes. Sure, Martin. It's still obviously uncertain. But if the existing rates hold, it would be a little more than double this year impact next year.
Operator: And this concludes our question-and-answer session. I'd like to turn the conference back over to Chip Brewer for any closing remarks.
Oliver Brewer: Well, thank you, everybody, for dialing in. We appreciate your interest and look forward to updating you again in February when we can talk a little bit more about 2026 and including new products. So look forward to that. Have a great rest of the year and holiday period.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.